Operator: Good morning, ladies and gentlemen. My name is Jeannie, and I will be your conference operator today. I'd like to welcome everyone to MEG Energy's Second Quarter 2025 and 6 Months Results Conference Call. [Operator Instructions] I'd like to remind our listeners that this call contains forward-looking information. Please refer to the advisories in MEG's disclosure documents filed on SEDAR+ and on their website for more on these disclaimers. Full details on MEG's second quarter and 6 months results are available in yesterday's press release. At this time, I would like to turn the conference over to Darlene Gates, President and CEO of MEG Energy. Please go ahead.
Darlene M. Gates: Thank you, Jeannie. Good morning, everyone, and thank you for joining us to review MEG Energy's second quarter 2025 financial and operating results. I'll begin today's call by highlighting our financial performance and strategic execution before turning it over to our CFO, Ryan Kubik, for a more detailed look at the numbers. Also joining us this morning are additional members of our senior management team, Tom Gear, our Senior Vice President of Oil Sands; Erik Alson, our Senior Vice President of Marketing; and Lyle Yuzdepski, our Senior Vice President of Corporate Development and Legal. I'm incredibly proud to share that the MEG team safely and successfully completed the largest planned turnaround in our company's history. What makes this achievement even more impressive is that it was completed while navigating the added complexity of regional wildfire conditions with an unwavering commitment to safety of our people and the communities we serve. The turnaround was completed on time, on budget and with exceptional safety performance across all key metrics. In addition, we completed over 150 tie-ins for our facility expansion project, helping to minimize future production interruptions and advance our growth plans. This project, which will add 25,000 barrels per day of production capacity by mid-2027, remains firmly on track and on budget. Thanks to the strength of our asset base and the resilience of our business model, MEG generated $148 million in free cash flow in the first half of the year and returned $220 million to shareholders, repurchasing approximately 3% of shares outstanding. At current strip pricing, we're on track to generate over $500 million of free cash flow in 2025. As I mentioned, the wildfires, which impacted communities and operators across the region, caused damage to third-party infrastructure, which delayed our post- turnaround ramp-up by approximately 12 days. Despite this, our team restored production to pre-turnaround levels within 2 weeks of restart and July production averaged about 109,000 barrels per day, positioning us for a strong second half. In the second quarter, bitumen production averaged 63,500 barrels per day with an average steam-to-oil ratio of 2.38. As expected, the turnaround reduced volumes by approximately 32,000 barrels per day with wildfires contributing an additional 12,000 barrels per day. Full year 2025 operating and capital guidance will remain unchanged. Our world-class Christina Lake asset, combined with our strategic growth initiatives, positions us to deliver low-risk capital-efficient growth, reduce per barrel cost and generate significant shareholder returns. Before I turn it over to Ryan, I'm pleased to share that MEG's Board of Directors has approved a 10% increase in our quarterly dividend, raising it to $0.11 per share payable on October 15, 2025. This increase reflects our confidence in the strength and resilience of our business model, our commitment to disciplined capital allocation and our focus on delivering meaningful returns to shareholders. With that, I'll turn it over to Ryan for a more detailed look on our financial results.
Ryan M. Kubik: Thanks. As Darlene mentioned, MEG's dividend increase is supported by our strong financial performance. And with low corporate breakeven, MEG is positioned to sustain and grow that dividend over the long term through disciplined investment and share buybacks. At current strip pricing, we expect to generate over $375 million in free cash flow in the second half of 2025, providing ample flexibility to support our capital allocation priorities. Adjusted funds flow in the second quarter of this year was $125 million or $0.49 per share, reflecting the impact of lower bitumen realizations and reduced sales volumes due to the planned turnaround and wildfire-related delays. The WCS heavy oil differential narrowed to USD 10.27 per barrel in the quarter, supported by improved pipeline access and strong demand for Canadian heavy crude. That differential, however, was more than offset by the WTI benchmark price, which averaged below USD 65 per barrel, influenced by global economic uncertainty and increased OPEC+ supply. Our operating costs net of power revenue were $10.88 per barrel in the second quarter, including nonenergy operating costs of $8.16 per barrel. These per barrel operating costs will be significantly lower in the second half of this year as production rises and we start up new wells and high-quality resource. Capital expenditures in Q2 totaled $200 million, up from $123 million in Q2 2024, driven by our planned turnaround and continued investment in our facility expansion project. While our share buybacks are temporarily paused due to the unsolicited offer process, our capital return strategy remains unchanged, and we plan to resume share repurchases when able. With that, I'm going to turn the call back over to Darlene for closing remarks.
Darlene M. Gates: Thank you, Ryan. I'm incredibly proud of how our team delivered this quarter, executing a 250,000-hour turnaround while advancing our strategic growth initiatives and maintaining operational resilience through challenging wildfire conditions. MEG is uniquely positioned to deliver low-risk, capital-efficient growth to 135,000 barrels per day while continuing to reduce per barrel costs and generate robust free cash flow. Our stand-alone strategy is compelling, anchored by the strength of our world-class Christina Lake assets and supported by a deep portfolio of attractive growth opportunities at Surmont, Kirby and May River. As previously announced, our Board initiated a strategic review on June 16 to explore whether a superior alternative to our stand-alone plan exists. That process is ongoing, and we will provide an update ahead of the expiry of the unsolicited bid in mid-September. We will not be commenting further on the review during today's call. I want to thank our shareholders for their continued confidence and engagement. Your support is critical as we navigate this pivotal moment in MEG's journey. And with that, we're happy to answer any of your questions.
Operator: [Operator Instructions] And your first question comes from the line of Neil Mehta with Goldman Sachs.
Neil Singhvi Mehta: Darlene and team. And understood on maybe some limitations on the M&A side. I had a couple of questions around projects. And the first is just the facility expansion. You said in the release that you're on track for 2027, and you got a lot of tie-ins that were completed during the turnaround. But just your perspective on how that's ramping? What are the critical path items that's probably the most important project in your docket right now?
Darlene M. Gates: Yes. Thanks, Neil. I'll start, and then I'll have Tom jump in with some additional commentary. You hit it very well. It is a very strategic important project in our portfolio. And the team has been executing exceptionally well. The first step for the team was to hit those tie-ins during the turnaround. They delivered that during the time frame, turnaround still maintained its cost and schedule. And the next steps that they're working on right now is field construction activities are underway. And recently, they completed the steam generator. You might have seen some pictures out there on the steam generator facility that will be going out on the foundation later this quarter. And I'd also say that they'll start some of the modules by later this year. So those will be this year's kind of major milestones. And as we move ahead, really the steam generation will start next year. And then the facility expansion, the rest of that project will include the third processing chain. Tom, any other commentary you want to throw or do you want to add more color around that?
Thomas R. Gear: Yes. No, thank you. I think the teams have been progressing this really well. With regard to critical path, all key long lead items have already been purchased. So when you look at that, it's really about field construction at this point through the following year and then into 2027. So it's really just the field execution pieces of this. And as Darlene Mentioned, we've got module deliveries happening later on, and that will be just the assembly of all these components to provide that in-service date in 2027.
Darlene M. Gates: Yes. So maybe, Neil, if I just summarize all of that, it's firmly on track and on budget, and we're about 15% completed to date.
Neil Singhvi Mehta: All right. That's very helpful. And then I know there's limits in terms of what you can say around the strategic review. But Darlene, can you just remind us what you said about time line around it, if there are any parameters around that? Just even if you can reiterate your public comments around that.
Darlene M. Gates: Yes. As we noted and you mentioned in the prepared remarks, we're not commenting on the strategic review process on the call today. But what we have said is that the Board will be coming back by mid-September with an update to our shareholders.
Operator: Your next question comes from the line of Dennis Fong with CIBC World Markets.
Dennis Fong: The first one is just around sustaining CapEx and the stand-alone opportunity set that you highlighted. You discussed an idea of kind of driving sustaining CapEx towards $10 per barrel from $12 beforehand. Can you comment a little bit around, is this predominantly scale? Does this incorporate larger timing between turnarounds or further efficiencies that you see in terms of obviously expanded central processing facility footprint?
Darlene M. Gates: Dennis, I'll start, and then I'll ask the team to jump in again with any other commentary they want to add here. As you know, the sustaining capital as we move forward is a combination of many different things. Starting with turnarounds for sure, extending them from 3 years to 4 years is clearly the path that the team has laid out for us after this successful turnaround. That's the first component. And another major component is just around the development plan that the team has laid out. They've got most of the infrastructure as they start to develop down to the Southeast and also to the Northwest. And once you make that primary investment of the infrastructure, then you're tying off -- you're tying into that infrastructure with the additional pads, allows you to get a very capitally efficient program because you're making those investments today and then benefiting from those with additional pads. Ryan, Tom, any other comments?
Ryan M. Kubik: Other than we are expecting sustaining capital will stay right around the $450 million level where it is today. And so you do get that economy of scale as production rises with our FEP, you're spreading that relatively fixed cost base over more barrels, bringing the per barrel cost down a couple of dollars per barrel.
Operator: There are no further questions at this time. I will now turn the call back over to Darlene Gates for closing remarks.
Darlene M. Gates: Thank you, Jeannie, and thank you to everybody that joined us this morning for our second quarter results conference call. If you have any additional questions, please contact Investor Relations. We look forward to speaking to you all soon.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.